Nobuya Kato: I am Nobuya Kato, Chief Financial Officer of the JT Group. Thank you for joining us today for JT Group's 2023 First Quarter Earnings Briefing. Before detailing each businesses, let me explain the three months consolidated financial results. Please refer to slide three. Adjusted operating profit at constant currency, our primary performance indicator increased 5.1% year-on-year, representing a strong start of the year. This was mainly due to the significant pricing contribution in the tobacco business, which outweighed the impact of deteriorating product mix and higher input costs. On a reported basis, revenue increased 14.4% year-on-year, driven by the top-line growth in the tobacco and pharmaceutical businesses strengthened by the favorable exchange rates in the tobacco business, due to the depreciation of the Japanese yen. Both AOP and operating profit grew at double-digit rate, supported by all businesses and the depreciation of the Japanese yen. Profit increased as operating profit growth and lower corporate income tax offset the negative impact of financing costs. The deterioration in financing costs was primarily due to the impact of changes in the applied exchange rate in Iran. Although the results on a reported basis were strong in the first quarter, due to the continued depreciation of the Japanese yen, considering the exchange rate trends last year, we expect that the FX impact associated with the appreciation of the Japanese yen and weaker local currencies will turn to headwinds as we progress towards the end of fiscal year 2023. In addition, we expect the marketing investment related to the geo expansion of Ploom X to rise as we increase the number of launches in the second-half. Next, I will explain the performance of each business. Please refer to slide four for the volume performance of the tobacco business. Total volume, including both combustibles and RRP increased 1.3% year-on-year. Strong performance in combustibles, particularly in the EMA cluster, as well as continued RRP volume growth in Japan exceeded the impact of lower industry volume in several key markets, notably in the United Kingdom. Specifically in Turkey, our performance was driven by a higher industry volume resulting from a favorable comparison against the first quarter of 2022, when there was an industry decline, due to inventory accumulation following a price increase. In addition, volume growth in global travel retail, due to a gradual rebound in the numbers of travelers and positive momentum in emerging markets exceeded the industry volume contraction in markets such as the United Kingdom. In Japan, combustibles volume increased year-on-year, due to segment share gains, especially in the value segment, offsetting the industry volume contraction and resulting in a strong start for the year. RRP volume increased by 3.0% year-on-year, driven by market share gains in the Japanese HTS segment. Moving on to the financial performance in the tobacco business. Please see slide five. Core revenue and AOP at constant currency in the first quarter resulted in a year-on-year increase of 6.3% and 4.6%, respectively, driven by pricing contribution in a number of markets, notably in Russia and the United Kingdom. As shown in the graph, the volume variance in AOP was negative. This is due to a deterioration of the market mix from lower volume in higher-margin markets, such as the United Kingdom and other markets. In addition, the negative product mix due to continued down-trading in Japan and other markets partially offset the pricing effect. Lastly, our initiatives to increase the cost competitiveness in the tobacco business and supply chain efficiencies are contributing to our cost base improvement. However, higher input costs related to increased raw materials, logistics and utility costs outweighed these cost-saving contributions. We expect higher input costs to continue throughout fiscal 2023. Regarding Russia, while the operating environment remains very challenging, we continue to manufacture and distribute our products in compliance with applicable regulations and international sanctions. There have been no changes in our stance, we will continue to take all necessary decisions in response to changes in circumstances and in accordance with the management principles guided by our 4S model. On the next slide, I will explain the trends in the three clusters and in our nine major markets. Please refer to slide six. Market share in our key markets has remained solid with year-on-year growth in Italy, Japan, the Philippines, Russia and Taiwan. First, Asia. In this cluster, the negative price mix variance resulted from the lapping of Japan's pricing benefits in 2022 and ongoing down-trading trend. These outweighed the positive total volume variance, mainly in Japan. Core revenue on a reported basis increased slightly year-on-year, fueled by favorable FX impact and AOP was almost flat. In Japan, continued Ploom X growth, as well as strong MEVIUS E-series and Camel Craft, capturing the down-trading trend led to an increase in both HTS and combustibles market share. I will explain the performance of Ploom X in the Japanese market in more details on the following slide. Next, Western Europe. Strong pricing implemented last year and also during the first quarter in each market exceeded the total volume decrease year-on-year due to industry volume contraction, mainly in the United Kingdom. As a result, core revenue and AOP for this cluster increased both at constant FX and on a reported basis, the latter supported by favorable currency movements. In the U.K., combustibles volume continued to decrease in line with the large total industry volume contraction following several price increases since the second-half of 2021 and the lapping of the COVID trends. This negative volume was more than offset by the robust pricing variance in this market. Last is EMA. As mentioned earlier, total volume increased in Turkey, benefiting from a favorable comparison driven by trade inventory adjustment, which took place last year and the continued recovery in the number of travelers in global travel retail. Strong pricing variance offset the impact of rising supply chain costs. In addition, strengthened by the positive impact of foreign exchange rates, the cluster's core revenues and AOP both increased significantly year-on-year. Slide seven explains the progress of Ploom X in Japan. In the first quarter, RRP represented approximately 37% of total tobacco industry volume in Japan. This is slightly higher than anticipated in our initial forecast, mainly due to active new HTS product launches and sales promotions by both JT and competitors. I'd like to point out that our new product launches have to an extent contributed to an increase in inventory in the first quarter. Ploom X shares within the HTS segment continued to grow, reaching 9.3% in the first quarter, as shown on the slide. The success of the device retail price reduction implemented at the end of November last year, resulted in higher year-on-year devices sales volume. In March this year, we renewed our MEVIUS brand refill sticks and launched a new high-quality product at a more affordable price. While still early days for the new MEVIUS consumables, these initiatives have contributed to Ploom X continued share gains. Share growth includes the impact of inventory enhancement after the new launch that I have just mentioned. The current offtake based share continues to show steady performance driven by active sales promotions. We continue to strive to expand and retain our consumers by leveraging both MEVIUS and Camel consumables. Next, I'll explain the progress at Ploom X outside of Japan. Please turn to slide eight. As announced in February, we have initiated a geographic expansion of Ploom X with over 10 markets planned during 2023 and more to come in 2024, mainly in Europe. Following the launch in Japan and the U.K., we have launched Ploom X in Italy and Lithuania in April, with plans to launch in Portugal in mid-May. As explained previously, we leveraged the knowledge we have gained in Japan and the U.K. to expand in the HTS segment and acquire and retain our consumers. During our upcoming tobacco investor conference on Monday, May 8, we will provide additional details regarding our geo expansion plan. I strongly invite you to register to this event or contact the IR team, if you have not received the registration link. In the U.K., which was launched in October last year, the industry volume of HTS segment is still limited, and it continues to be sold only in the Greater London area. As a result, I do not have significant data to share in terms of sales volume and market share. However, I can relay that we are receiving positive consumer feedback regarding the amount of vape, the heating speed of the device, the usable hours per stick or price positioning. For Italy, where Ploom X was launched in April, the HTS segment is relatively large and represented approximately 16% in 2022. Also, we expect higher margins due to lower tax burden of HTS, compared to combustibles. We consider it is important to improve our total tobacco market share and profitability. We started sales in several provinces, including Milan in April, and we will gradually expand sales in other regions. Next, let me introduce Lithuania where we launched Ploom X late April. In this market, the HTS segment represented approximately 27% of the total tobacco industry in 2022, and the consumers are well aware of HTS. Like Italy, HTS has a lower tax burden, compared to combustibles, potentially resulting in higher margins. We started sales in April in Vilnius and we will gradually expand sales in other cities. Finally, let me update the supply situation of semiconductor components related to the procurement of devices. Although it is difficult to predict supply and demand trend in the entire supply chain for semiconductor components in general, we have seen an improvement in the supply and demand for semiconductor components since the second-half of last year, as we have explained in February this year. At this point, concerns regarding device procurement have generally been resolved, and we have secured the necessary volume of semiconductors for the expansion planned this year and beyond. Slide nine details the results of our pharmaceutical and processed food businesses. First, the pharmaceutical business. Revenue grew year-on-year due to one-time income from the licensing of patented JT compounds and the sales increases in the areas of skin diseases and allergens at our consolidated subsidiary, Torii Pharmaceutical. AOP increased year-on-year as our revenue growth exceeded increasing R&D expenses. Moving to the processed food business. Revenue was almost flat year-on-year due to price revisions implemented last year as well as recovery of sales in the food service industry, specifically in the frozen and Avian food segment, offsetting the impact of our revenue loss resulting from the transfer of the bakery business last year. AOP increased significantly year-on-year as the price revisions as well as the top line growth, along with the recovery of sales to the food service industry more than offset the impact of increased raw materials. Slide 10 will be the last slide. To summarize, we have delivered solid results in the first quarter, building on the positive momentum across its businesses. Robust pricing in the tobacco business continued to drive the strong performance of the group and the market share gains in several markets. We were able to offset the impact of input cost increases. The pharmaceutical and processed food business also reported increased profit, supported the group's profit growth. On the other hand, the foreign exchange rates are volatile and the potential risk remains, including the concerns over inflation and recession as well as possible tax increases and tighter regulation in selected countries. We continue to closely monitor the impact on our business and the financial performance. Forecast revision, if any, will be announced along with the second quarter financial results or later. As mentioned, our tobacco investor conference will be held online on Monday, May 8, next week. We give a presentation on the tobacco business growth strategy and RRP efforts with JT International executives and speakers. Q&A session will follow. We do hope you will take part in this meeting. Thank you very much for your attention.
A - Unidentified Company Representative: Thank you, Mr. Kato. Now I'd like to start the Q&A session. Let me introduce you the speaker, who will answer your questions today. Nobuya Kato, CFO of the JT Group, and Koji Shimayoshi, JTI Deputy CEO. Next, I will show you how to ask questions. We are afraid we don't accept questions in this English line. If you have any questions, please send an e-mail to jt.ir@jt.com. We will introduce your question accordingly. Thank you for your understanding. Thank you for waiting. The first question comes from Mizuho Securities, Mr. Saji.
Hiroshi Saji: Thank you for this opportunity. I only have one question about the Japanese market. So combustibles and HTS are the areas that I would like to ask questions. If you could give me a short comment on the both. So talking about the market, I suppose it has declined by 3% or so, but JT managed to grow at 2.6%, you managed to grow your businesses. So in the downward trend, Camel Craft performed better. And also, I suppose the traffic of the people and some contribution may have come from inbound tourists as well perhaps. This positive of 2.6% of growth was quite outstanding. So is there any kind of backdrop to this? And also HTS, it is quite simple. So PMI in fact, has been growing their share in HTS in Japan. And now that your share has expanded further, inclusive of BAT, I suppose there may have been some changes in the share breakdown between and among these three group companies. So I wonder how this would trend going forward. So any kind of changes that is occurring as to the market share here in Japan so far as HTS is concerned, do you think that you can continue to expand your share? Thank you very much.
Nobuya Kato: So with regard to combustibles, while the market though the industry volume is declining, why were we able to grow? And also with regard to HTS, why are we successful in growing our shares? And can we continue this trend going forward? So Shimayoshi is going to answer to your question.
Koji Shimayoshi: So this is Shimayoshi from JTI. Mr. Saji. Thank you for your question. So as to the first part of your question, combustible in Japan, while, of course, the industry volume is declining, we have managed to enjoy the growth. Is it sustainable or not? And also HTS and especially in light of the competitive landscape. So as to the combustibles, so the Japanese market, down-trading, in fact, has been proceeding. And against such a backdrop, Camel Craft and maybe E-Series, so whereas we were relatively weaker in this value segment. But for sure, we have been winning our share in this category. So I think that is the backdrop to this growth. So 2022 from the second quarter, if we were to look back from then, the segment share wise it has been doubled. We did manage to double the share. And that, I think, is supportive of this positive trend. Inclusive of inbound tourists, whether it is sustainable or not? From a qualitative perspective, yes, maybe the answer. But during the Golden Week, we see a lot of traffic of the people on the street, especially the Japanese consumers and also the Chinese tourists as well as the Taiwanese tourists, they have been making a visit to Japan, but I don't think we have reached the extent of measuring this in a quantitative manner. So whether this is sustainable or not, I suppose it's your question. But at this value segment, value segment, for sure, is growing. So we want to make sure that we can continue to grow our share in the segment. But with regard to the profit, what would happen to the profit, it is yet to be known. So with regard to HTS, so as to the actual business performance of the competition, we are not in a position to be making a comment because after all, the data source of the competition may vary in accordance with the source of information. But just if I may just make a comment about Ploom X, the device price was reduced. And also the refill price was also reduced for MEVIUS. And also MEVIUS, we have reinforced the effort in the blending. So therefore, between tobacco and the quantity of vape and vape volume feature, so we have brought about some changes, and that is giving us a short sign of a positive outcome. So talking about the offtake. In other words, on a retail basis, according to our internal information source, 10.7%, 10.5% of growth, I think, has been enjoyed. So we really want to continue this momentum going forward. And that is all for myself.
Hiroshi Saji: Thank you, very much. There's one thing that I want to confirm with you that according to the share source, as a result, I think you have been winning the share from those competition. Is that correct?
Nobuya Kato: Well, our Ploom X, so there are three businesses or four businesses, our combustibles source of business and competitions, HTS and competitions, combustibles. And more specifically, there are two major competition. But from whom are we acquiring our shares? As for ourselves, allow us to refrain from making any comments because we cannot be sure of where we're winning our shares from. Like in the case of BAT's performance or any others, we are not in a position to be making any further comments about the competition. Mr. Saji thank you for your question.
Unidentified Company Representative: Next, we'd like to introduce next question from Nomura Securities, Mr. Fujiwara, please.
Satoshi Fujiwara: Thank you. I'm Fujiwara. Do you hear me?
Nobuya Kato: Yes.
Satoshi Fujiwara: Thank you. I have one question. For the first quarter, looking at the results at the constant FX, I have seen the figures. And for the tobacco business, you had a very good start off. And in the second half, you're going to have a further expansion with the Ploom X. But looking at the full year, in each cluster, what is the feel? And also how is it going to play out compared with estimate? That's my question. Thank you.
Nobuya Kato: That question was by cluster compared with the plan. how we're going to play out? And Mr. Shimayoshi will address that question.
Koji Shimayoshi: Thank you, Mr. Fujiwara for your question. For the full-year forecast, I think there are two key drivers, the volume and also unit price. In terms of the volume, the last year's momentum will be carried forward this year. And also there was inventory adjustment. So that is a part of the strength. And then looking further down the road, I think there are some factors for the sensitivity. Japan, the Camel Craft was launched in June 2022, and that impact will be given for the full-year for the volume increase. And we're going to see the peak out. And also Turkey will give the big impact for the volume. That is currently booming. But after the tax increase and the pricing, there might be some decline for the volume that is estimated. And Q2 and onward, in Asia, how the consumers will behave needs to be monitored. For example, in China and Taiwanese our customers’ needs to be monitored. And the duty-free sales will be increasing and how that will impact on the domestic demand in each country. That is the factor we need to monitor closely and have the management. And also for the unit price, I think our pricing has been generally successful. But in part of the market, there is our price competition with the pricing. And there were some markets, which we were not able to have the pricing as we have planned. And in the Q2 onwards, we need to look at the competitions and then we need to work harder to gain the pricing as we have anticipated. So the Q1 start-up was very good. But there are some sensitivities we are aware of. And we'd like to have the safe landing. That's all for me. Thanks.
Satoshi Fujiwara: Follow-up question. For the unit price, compared with the anticipated one, you said that there is some lagging behind the area. So would you specify the area?
Koji Shimayoshi: Well, we are having the competition in some markets. So when we specify one market and when I say, it was not successful, actually, that is misleading. And in some markets, in the mid-price product, that competition didn't have the pricing. And in Russia with the tax hike, we had the pricing, but that has not penetrated for all SKUs because we are monitoring the other competitions, how they behave and we are fine-tuning our pricing, looking at the competitions. Therefore, that is the case in Russia and the Philippine and Italy, we need to have the close watch. So these are the key markets. So in these areas, our pricing is not as high as 100% that we have anticipated. That's all from me. Thanks.
Unidentified Company Representative: Thank you very much. Mr. Fujiwara, thank you very much. Let me introduce the next person, Mr. Morita from Daiwa Securities, please.
Makoto Morita: I am Mr. Morita from Daiwa Securities. Thank you for the opportunity. I would like to ask the question about the financing cost. In the first quarter, I believe that it was attributable to the situation in Turkey. While the interest rate is hiking, what kind of risk are you foreseeing with the interest rate hiking? And if we were to exclude the impact that comes from Turkey, what is the impact in a quantitative manner for the full-year. So if you could be so kind enough to explain about this financing cost. And the reason that you have been making improvement on the balance sheet, but inclusive of DE ratio referring to the balance sheet, if you could be so kind enough to explain the current conditions of the balance sheet.
Unidentified Company Representative: So the financing cost deterioration and how do we foresee how it unfolds. And also at the same time, the balance sheet situation conditions, Kato is going to answer.
Nobuya Kato: This is Kato speaking. Mr. Morita, thank you for your question. So at the outset in response to your question. So it is true that the deterioration of financing cost is not attributable to Turkey, but Iran. I'm sorry about that.
Makoto Morita: No, that's okay.
Nobuya Kato: But in Iran, why the deterioration has taken place, let me explain. So first of all, Iran, whereas before from the government with regard to the raw material, the imported raw material in the payment, we needed to procure the foreign currency, which is allocated by the government of Iran. And also, there is an official fixed rate that is designated by the government of Iran. And since the beginning of this year, so this allocation, the quantity and also at the time of allocation, the rate, there has been some changes that was brought about, which resulted in local currency depreciation, the new rate loss and that has affected the payment of the raw material inputs, which we had to, of course, calculate on the basis of this official rate. So what does it do to the financing cost? So the raw material, of course, has to be imported on foreign currency, basically euro-denominated basis and the 0 denominated price, of course, to the outstanding balance of the payables on a local currency basis, unfortunately, it works to be negative on the financing cost. So that, in fact, was a major impact in the first quarter that we have experienced. So that was for Iran. But overall, the financing cost, the loss that are incurred in some other locations because of the hike in the interest rate, and I think was the question. But there are some positive factors as well that I need to explain why the rate continues to rise. But of course, the cash outstanding balance, the interest rate that we can earn on the balance of the cash, of course, is a positive factor that we need to take into account. On the other hand, our debt, in fact, is the majority of which, in fact, is on the fix on the long term. And therefore, the rate is fixed for the long term. So the recent hiking interest rate has not impacted us very much, to be honest. But having said that though, taking that, of course, into account still. So the long-term fixed rate, in fact, has been the financial strategy that we have been kind of pursuing and adopting for the reason that you have asked the question for. And talking about the DE ratio of the balance sheet, how are we approaching the DE ratio. What is our idea to it? At the moment, interest bearing loans on a net basis, the net debt, in other words, in fact, has come down quite a bit. And as for the cash, we have an abundance in terms of the cash on hand. But as we look back at the past several years or so because of COVID pandemic and also the macroeconomic conditions, in fact, had remained to be pretty volatile. And against such a backdrop to that, we needed to have a strong financial standing because we thought that would prove to be something that is important to the overall business conditions. So in some cases, that would give us some agility in responding to whatever the changes that may take place in the macro economic conditions. And also, the investment that had proven to be attractive, we would be able to have flexibility as well as agility. And from that perspective, the balance sheet, we really wanted to solidify the strong foundation of our financial standing. So that's how we have been managing our balance sheet.
Makoto Morita: Well, with regard to the interest payment, so that's about JPY728 billion. Can I understand that it would be to that size going forward as well? May I take it?
Nobuya Kato: Well, the interest payment, I don't think it would change very much over the years going forward, as to the balance sheet.
Makoto Morita: So the current macroeconomic condition is volatile. So therefore, you would like to remain to be pretty conservative, and there will be no kind of major changes that are made to the balance sheet?
Nobuya Kato: No, that is true. We do not intend to bring about major changes to our balance sheet management. going forward.
Makoto Morita: Thank you very much. Understood. Thank you.
Nobuya Kato: Mr. Morita, thank you for your question.
Unidentified Company Representative: I'd like to introduce next question. Tsunoyama from the Mitsubishi UFJ Morgan Stanley Securities.
Tomonobu Tsunoyama: I'm Tsunoyama, Mitsubishi UFJ Morgan Stanley Securities. With regard to the variance for the profit for this year, that the JPY20.3 billion for the others, we may not be able to give you the full breakdown and presumably part of them is coming from the supply chain or the cost reductions or the RRP contribution will be included. But out of that, JPY23 billion, would you give us some colors for that number? And also for three years, you're going to have the JPY300 billion investment for the -- and then what was the progress in the first quarter of this year? So would you give us some number for that?
Nobuya Kato: For the others, JPY20.3 billion breakdown and also RRP, our investment, the progress for this JPY300 billion. Mr. Shimayoshi will address to that question.
Koji Shimayoshi: Thank you, Mr. Tsunoyama for the first question, for the others of JPY20.3 billion, what is a major factor out of that and flavor or color for that? For primarily the inflation and the supply chain and our production cost worsement that has the biggest factor. And also for the Ploom X expansion, we increased the investment, and that is a part of that. And that is related to the next question. And in this year, Italy in Vilnius, we are expanding our business and year-on-year, that is the growth factor. And also, in each country, the inflation is proceeding. So the labor cost of the wages have been up. In line with the inflation, we need to increase the salary. So these are the factors included for the worsening. And then for the JTI and in Japan, we have been through the transformation initiatives. And for the manufacturing cost, we have been improving the efficiency. And putting all together, we have come to the number of JPY20.3 billion as a net one. And with regard to the progress for the investment of JPY300 billion for upcoming three years for the RRP that in a ballpark estimate, about 70% goes to the marketing. And the remnant, for the ongoing basis, R&D and CapEx is partially included. And for R&D, that will be constantly increasing. And for the marketing, that's up to the market we are deploying, and we're going to have the budget for the expansion of the market. So currently, we have only two markets. So vis-a-vis the JPY300 billion, this is just a starting point, embryonic stage, I would say. That's all for me. Thanks.
Tomonobu Tsunoyama: Follow-up question. So for the JPY20.3 billion, compared with the full-year plan, how that should be compared with that? And also, I might have some misunderstanding. For the RRP for the volume from January to March, it was about a 3% growth year-on-year. It was almost unchanged. And in Japan, there was an increase by 300 million sticks. So there might be the decline in other areas. Is that right? Or is there any other factors for us to consider?
Koji Shimayoshi: With regard to the cost, whether that is in line or not, for the Q1 compared with our initial forecast, slightly it is easing because for the full-year, we made a plan at the end of the year previous year. And at that time, there was an energy crisis are happening in Europe, and we didn't have the visibility. And because of the warm winter, the energy cost situation was not as bad as expected. So the cost pressure for the energy cost was kind of mild compared with our initial plan. And also for the RRP, for example, in Japan, Ploom X is booming and infuse or the Ploom Tech, so to speak. since we have concentrated in HTS investments, so these areas have been rather weakening. And also, that is not a feature we commented so often, but we have the launch of Ploom X in Russia before. And after that, there is the war, and then we suspended the launch of the Ploom X, that means the Ploom X is for the existing customers who are still using Ploom X is being supplied. And since we don't have the additional supply, so the Board itself is declining. That is the result of the net basis.
Tomonobu Tsunoyama: Thank you very much. Understood.
Unidentified Company Representative: Mr. Tsunoyama, thank you very much. Let me introduce the next person. So from Morgan Stanley MUFG Securities, Ms. Miyake please.
Haruka Miyake: Thank you for the opportunity. I am Miyake from Morgan Stanley MUFG Securities. I would like to ask the question about the outlook going forward. I know there are numbers of volatility that you may have to take into account, and therefore, you may have to scrutinize various different aspects of the businesses. But in your business, so which area do you foresee the biggest risk that you may experience in the future? Maybe Russia, I wonder, this is my personal opinion. As to the business continuity in Russia, I suppose the volume on hand, I think it has been increasing. So I wonder what is in your mind at this point in time?
Unidentified Company Representative: So your question, Ms. Miyake, so what is the largest risk that you foresee in the businesses? And also the outlook of the business in Russia. So Mr. Kato is going to answer to the question.
Nobuya Kato: Ms. Miyake, thank you for the question. Well, so in terms of the latent risk at the time of my presentation, I may have shared my thought to some extent. So it's not any country in specific, but in each of the markets, there could be the regulation becoming stricter or increasing tax or recession, of course. So these could be potential risk in various different markets of the world. So that is what we think at this point in time. So other than the businesses, the overall, the ForEx market remains to be pretty volatile. And so just referring back to the first quarter to update the forecast for the whole year, like JPY130 has now go up kind of changed to JPY136, JPY137. But in any case, depreciation of the yen, of course, works out to be positive for us. But of course, it could reverse any time. So from that perspective, I think the volatility is likely to persist. So volatility remains to be high. So of course, considering that so far as this fiscal period is concerned, for the full year, but it doesn't impact us to the extent of revising the full year forecast. But of course, if that proves to be necessary, we will do so accordingly. And as to the business continuity in Russia, as for Russia, although we have been sharing idea in the past, of course, there has been some economic sanctions that has been imposed on Russia. And we, of course, have been doing our best in complying to those different situations on the regulations. And we have been, of course, responding to any changes that may occur in continuing our businesses in Russia. And I think we have shared with you at the time of the last briefing session. So far as the sanction now is concerned, and so far, as we can respond to the sanction, we think that we can still be continuing with our business in Russia. And that's what we have shared at the time of the beginning of this fiscal period and what this is exactly what we foresee for the full year as well. But there is one thing that I need to add and that may not bring about major impact to our financials. But what has happened quite recently, this internal strife in Sudan. So Khartoum, the capital, what is exactly happening is not to be overlooked for sure. So that may perhaps give some impact to the businesses, the production as well as distribution of products, in fact, has been suspended for this reason. So how this would unfold going forward is yet to be seen. And although we do not foresee any kind of major impact given to the financials, but we cannot deny the fact that there could be some even slight impact that may perhaps be given to us. So anything to be added from Mr. Shimayoshi?
Koji Shimayoshi: So this is Mr. Shimayoshi speaking. And as to the volatility that surrounds us. So far as the Q1 is concerned, the first quarter is concerned, Over the past three years, COVID pandemic and war in Ukraine, Russia, I must admit that we did panic a bit internally. And the volatility, of course, is persisting. But it is no longer panicking, but now that we are trying to quietly and calmly kind of control those risks and geopolitical risk or pandemic, I think this has become somewhat more manageable as compared to the last three years. So I think we have now gotten, I think the things have become manageable that it has allowed us to concentrate our effort on these businesses, the day-to-day businesses. So as to the continuity of the business in Russia by item by raw materials, I think we have said one to six months, so far as the inventory is concerned, currently, two to six months, the inventory, in fact, we did manage to build up a little more than before. And so therefore, the things have not changed very much from the time that we have shared our view back in February.
Haruka Miyake: And one thing that I want to confirm with you, having heard your response. So with regard to the pricing, dependent on the market, you had shared that the action has not been taken just as you have planned in some of the markets. So the pricing that you have not taken any kind of pricing actions in the first quarter that you have not planned initially. May I take it?
Koji Shimayoshi: Ms. Miyake. I'm terribly sorry about this, but we have to refrain from giving you much of the details, but there are some markets where we were able to take more pricing actions than we had initially planned because of the fact that we needed to counteract against the hiking attacks. Of course, we carry through this pricing action in light of the impact that will be given to the volume, though. But there are some other markets, which I have mentioned that we were not able to kind of smoothly conduct this pricing action, but there was some that was more than we had initially anticipated.
Haruka Miyake: So which means that overall, still you are short of your initial target. Is that right?
Koji Shimayoshi: Yes, from a profit generation perspective, pricing for sure is one of the important driver. So therefore, from an uncertainty, to be honest, if we can be successful in the pricing actions, we would be happier. That's what it is.
Haruka Miyake: Thank you very much.
Koji Shimayoshi: Ms. Miyake, thank you for your question.
Unidentified Company Representative: Next question from SMBC Nikko Securities, Ms. Takagi, please.
Naomi Takagi: Hello, this is Takagi. Do you hear me? Thank you. I'd like to ask about the cost increase in supply chain, in this year, for FY '23, cost increase will be rather material, especially in the first half of the year, because of the rather slow, our speed over last year, there will be the accelerated cost increase. Then that there are many high NTM or the leaf tobacco and others. And what is your current forecast? When you have our first-half comparison? And do you think that that will be slowed down in the second-half. So would you people ask the more color for that.
Nobuya Kato: For the supply chain cost increase for this year forecast, Mr. Shimayoshi will address.
Koji Shimayoshi: Thank you, Ms. Takagi. I'm Shimayoshi. Our forecast for the cost increase including this year, how we will have the projection is rather difficult to describe. But as of today, in our forecast, the cost increase is, of course, affected by the inflation. I think this year will be the peak. Year-on-year basis, that increase will be the peak for this year. And in the longer view projection from ‘23 to ‘24, I wouldn't say the half of this year, but about one-third of the cost increase factor will still remain in the following year. So in the first quarter, it was more moderate than our estimate as we presented. But in future that we need to look at the supply-demand of energy and also the food, raw material matters to us. So these areas are the volatile factors. And this volatility would still continue. Therefore, as of today, we cannot specify how much is a cost increase factor and how long that's going to be continued. But at this moment, we think this year will be the peak and the next year it to be moderating. That's our view.
Naomi Takagi: Thank you very much, Mr. Shimayoshi. When you said one-third is remaining next year, is that about energy or the food, what is about?
Koji Shimayoshi: Basically, when you look at the inflation rate, in any countries, the inflation will be the peaking this year. Then that covers the raw materials and energy cost and the labor cost all inclusive. And for next year, compared with this year, next year will be about one-third. So that is a rather big picture comment. So quarter-on-quarter, that we'd like to give you more detail.
Naomi Takagi: How about the leaf tobacco order refill, that leaf tobacco, would you give us any comment for the cost?
Koji Shimayoshi: Last year in Autumn, there was a -- after the crop in fall last year, there was a cost increase. And we have the inventory of about one and 1.5 years. So that have the impact for this year. And that is how we have our inventory. So for this year, the procurement for this year, starting from the summer or the autumn time this year, based on the latest forecast, the labor cost and the fuel cost and also the feed costs continue to rise.
Naomi Takagi: So the raw material cost will continue to rise, that incremental trend will continue. But after the autumn, how are we going to see the pricing?
Koji Shimayoshi: We need to see that through for the impact on the next following year.
Naomi Takagi: Thank you very much.
Koji Shimayoshi: Anyway, supply chain cost increase, you are going to take the pricing based on that. And then if that moderates, then that will affect the inventory, but it might be rather premature to give us the forecast. Yes. So we need to look at the market conditions and also that we are making the cost reduction effort. So that impact will be felt this year and next year.
Naomi Takagi: Thank you very much Mr. Shimayoshi. That’s all from me.
Unidentified Company Representative: So with this, now I would like to conclude the meeting. Thank you so much for your participation. And please make sure that you disconnect.